Operator: Good morning, everyone, and welcome to New York Times [Technical Difficulty] [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please also note today's event is being recorded. At this time, I'd like to turn the floor over to Anthony DiClemente, Senior Vice President, Investor Relations. Please go ahead.
Anthony DiClemente: Thank you. And welcome to The New York Times Company's First Quarter 2025 Earnings Conference Call. On the call today, we have Meredith Kopit Levien, President and Chief Executive Officer; and Will Bardeen, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call. These statements are based on our current expectations and assumptions, which may change over time. Our actual results could differ materially due to a number of risks and uncertainties that are described in the company's 2024 10-K and subsequent SEC filings. In addition, our presentation will include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. In addition to our earnings press release, we have also posted a slide presentation relating to our results on our website at investors.nytco.com. And finally, please note that a copy of the prepared remarks from this morning's call will be posted to our investor website shortly after we conclude. And with that, I will turn the call over to Meredith.
Meredith Kopit Levien: Thanks, Anthony, and good morning, everyone. As our first quarter results show, we've had a strong start to the year. Our strategy is working and our business is growing and demonstrating resilience, amidst the current economic and geopolitical uncertainty. Let me say how. First, we have a diverse portfolio of world-class news coverage and leading lifestyle products, which means there's always a reason for millions of people to turn to The Time. Our coverage is sought out by people from all walks of life, trying to understand a busy and important news moment. And each of our lifestyle products is in a space with sizable audience interest. That means The Times draws 50 million to 100 million people each week looking to become more informed about the world and also to play games, follow the sports teams they love, cook and shop. Second, we have multiple complementary revenue-wise, subscriptions, advertising, affiliate and licensing, all of which are growing at a healthy rate, and we believe have ample opportunity for continued growth. Third, our model generates significant free cash flow, and our balance sheet is strong, which enables us to keep investing in the unparalleled journalism and best-in-class product experiences that are our enduring advantage. Taken together, these points mean we see running room in every direction and we're confident we're continuing to build a larger and more profitable New York Times Company. Now let me share a few highlights from the quarter. We added 250,000 net new digital subscribers surpassing 11 million digital-only subscribers and bringing our total subscriber base to $11.7 million. This puts us further along the path to our next milestone of 15 million total subscribers. Digital subscription revenue, our largest and fastest-growing revenue stream increased by more than 14%. Engagement was consistently high in the quarter, buoyed by our expert reporting on multiple big stories simultaneously. Our lifestyle products beloved by users helped drive high engagement as well, and they contributed meaningfully to bundle growth, which is a key element of our strategy in action. Beyond subscriptions, digital advertising grew 12%, which is our strongest growth rate in three years. We see this as evidence that the strategy that has propelled our subscription business is working for advertising, too. We have a diverse set of products in categories with broad marketer appeal, a large and deeply engaged audience that marketers are able to target effectively and a suite of high-performing ad products that we continue to expand and improve. We're still in the early stages of leveraging these advantages across our full portfolio and expect them to keep powering ad revenue growth. Licensing and affiliate revenues grew strongly in the quarter as well, and we see them as sustainable growth levers. Finally, we stayed disciplined on cost growth, even as we continued to make journalism and product investments aimed at building on our market position for the long-term. I’ll close with a reminder of our priorities for the year, and share a bit about the traction we’re getting on each of them. Our first priority is to continue to comprehensively cover the most important stories with the deep reporting, independence, and expertise The Times is known for. That kind of coverage resulted in four Pulitzer Prizes earlier this week. They honored Doug Mills’ once-in-a-lifetime photos capturing the near-assassination of President Trump last July, an unflinching account of the civil war in Sudan, and a revelatory look at the failed strategy in America’s 20-year war in Afghanistan. The Times also won a prize for a collaboration with the Baltimore Banner for a series on the tragic impact of the opioid crisis in Baltimore. In Q1, our newsroom continued its work with unmatched coverage of the early months of the new administration and its impact at home and abroad, among other outstanding reporting. Second, we’re innovating in video and audio to make our reporting more accessible to more people. Users love our growing video library, especially, our reporter-led videos that provide an entry point into major story lines, and our audio offering, which includes both our signature podcasts and automated voice powered by AI. On-platform engagement with both audio and video more than doubled in Q1. Third, we’re making each of our products more valuable to more people, with new content, shows, features, games and other enhancements. Already this year, we added to our suite of original interview shows with the debut of Interesting Times with Ross Douthat. Games began beta-testing new puzzles, and unveiled a new “friends” tab to encourage communal play. Wirecutter launched detailed reviews of everyday essentials in skincare. And, The Athletic published The Beast, its deeply reported and uniquely comprehensive guide to the NFL draft with a host of new digital features. That’s just the beginning, and we’ve got much more in the pipeline for the remainder of 2025. And finally, all of this is intended to drive a larger engaged audience for The Times. That is exactly what we are seeing, even in an ecosystem dominated by big tech platforms that have generally been sending less and less traffic to publishers. We also continue to rank first among digital news destinations in time spent per visitor. Everything I just described shows that our essential subscription strategy is working as designed. With a valued product portfolio, multiple revenue streams, significant free cash flow generation, and a strong balance sheet, we believe we are well-positioned to navigate an uncertain market environment. And, we remain confident in our long-term growth drivers, and our ability to continue delivering even more value to even more people, and to our shareholders. And with that, I’ll turn it over to Will for more details on the quarter.
Will Bardeen: Thanks, Meredith and good morning, everyone. As Meredith said, our 2025 first quarter results demonstrate a strong start to the year for subscriber growth, revenue growth, AOP growth, margin expansion and free cash flow generation. We reached 11.7 million total subscribers at the end of Q1. With bundle and multiproduct subscribers now making up approximately 49% of the total, we are well along the path to exceeding 50% this year. Our strong audience and subscriber engagement in the quarter helped power healthy growth across our multiple revenue streams. We also continued to operate efficiently while making disciplined investments aimed at further differentiating our high-quality journalism and digital products. When taken together, AOP grew by approximately 22% year-over-year and AOP margin expanded by approximately 180 basis points year-over-year. We generated approximately $90 million of free cash flow in the first quarter, including a one-time benefit of approximately $33 million from the sale of excess land at our College Point facility. Over that same period, we returned approximately $81 million to shareholders, consisting of approximately $59 million in share repurchases and approximately $22 million in dividends. This is consistent with our capital allocation strategy of returning at least 50% of free cash flow to our shareholders over the mid-term. Now I’ll discuss the first quarter’s key results, followed by our financial outlook for the second quarter of 2025. Please note that all comparisons are to the prior year period unless otherwise specified. I’ll start with a discussion of our subscription business. We added approximately 250,000 net new digital subscribers in the quarter, with growth coming from multiple products across our portfolio. Total digital-only ARPU grew 3.6% to $9 54, as we stepped up subscribers from promotional to higher prices, and raised prices on some tenured subscribers. We continue to be encouraged by the results we’re seeing at pricing step-up points. We are also pleased with the strong engagement we are seeing as we continue to add value to our products. As a result, we remain confident in our ARPU trajectory. With both higher digital subscribers and higher total digital-only ARPU in the first quarter, digital-only subscription revenues grew approximately 14% to $335 million. Total subscription revenues grew approximately 8% to $464 million, which was in line with the guidance we provided for the quarter. Now turning to advertising. Total advertising revenues for the quarter were $108 million, an increase of approximately 4%, which is higher than the guidance we provided for the quarter. Digital advertising revenues also came in above the guidance we provided, increasing approximately 12% to $71 million. Digital advertising revenues increased primarily due to areas of strong marketer demand and new advertising supply. Affiliate, licensing and other revenues previously labeled as other revenues increased approximately 4% in the quarter to $64 million. Wirecutter affiliate revenues and licensing revenues continue to perform well. Adjusted operating costs grew 4.9% in the quarter. This was slightly better than our 5% to 6% guidance range. Adjusted diluted EPS in Q1 increased $0.10 to $0.41, primarily driven by higher operating profit and higher interest income. I'll now look ahead to Q2 for the consolidated New York Times Company. Digital only subscription revenues are expected to increase 13% to 16%, and total subscription revenues are expected to increase 8% to 10%. Digital advertising revenues are expected to increase high single digits and total advertising revenues are expected to be flat to increase low single digits. Affiliate licensing and other revenues are expected to increase mid-single digits. Adjusted operating costs are expected to increase 5% to 6%. We intend to continue maintaining a disciplined approach to cost while making investments in our high-quality journalism and digital product portfolio that adds value for our audiences. In summary, our essential subscription strategy is working as designed. With a valued product portfolio, multiple revenue streams, significant free cash flow generation and a strong balance sheet, we believe we are well positioned to navigate an uncertain market environment. The impact of tariffs on our business has been immaterial to date, and our growth drivers feel strong. We continue to expect healthy growth in revenues in AOP, margin expansion and strong free cash flow generation for the full year, and we remain on the path toward our midterm targets for subscribers, AOP growth and capital returns. With that, we're happy to take your questions.
Operator: Ladies and gentlemen, at this time we will begin the question-and-answer session [Operator Instructions] Our first question today comes from Benjamin Soff from Deutsche Bank. Please go ahead with your question.
Q – Benjamin Soff:  Good morning, everyone. Thanks for the question. I wanted to dig into the strength in digital ad revenue this quarter. So were there any areas in particular where you saw a pickup in activity? And then could you give us an update on what you've been seeing in that business since the tariff announcements? Thank you.
Meredith Kopit Levien: I'm happy to take that. Good morning. Thanks for the question. I think broadly now, we are sort of talking about and thinking about our ad business the same way we think about our consumer business. We are in big categories with broad appeal to the end user, in this case, to the marketer. We've got engaged audiences that marketers can target. Effectively, we've got a suite of high-performing sort of well-owned ad products, and we're still in the relatively early days of extending those products across the portfolio. So we have a lot of confidence in the growth drivers and long term and the potential resilience of the business. And yeah, I don't know, Will, if you'd add anything to that.
Anthony DiClemente: Great. Okay. Thanks, Ben. Ben, if you don't have a follow-up, operator, we'll take our next question.
Operator: Our next question comes from Thomas Yeh from Morgan Stanley. Please go ahead with your question.
Thomas Yeh: Thanks so much. Good morning. I wanted to ask about the news-only subscriber base, which I think saw the least attrition this quarter that we've seen since the bundle strategy really took off. Have we reached a greater level of stability on that cohort? And how much opportunity is there still to drive conversion of those legacy new subscribers into the bundle? And then in a similar vein, can you maybe just revisit your appetite for stand-alone product price increases and whether an uncertain economic environment changes that calculus at all?
Will Bardeen: Thanks, Thomas. I'll take that. So first, what you're seeing there with the news-only is our strategy working as designed as we've been telegraphing for quite some time. And I think sort of underlying -- the -- we've talked about how the -- there's a lot of value in the product. We're pleased with what we're seeing at pricing step-up moments news only has been one of the places where for tenured cohorts. We've at the right times when we see the opportunity. We've been asking those readers to pay a little bit more. So I think what you should expect to see there is a continuation of us exercising our strategy, and we continue to primarily market the bundle and over time, would expect more and more people to be on the bundle. So it's just our strategy working as designed there. With regard to price increases on single product. I simply sort of say that overall, I think both Meredith and I talked about the underlying drivers of the digital subscription business and of ARPU growth or ARPU is very strong. We're adding a lot of value to the products. Meredith talked about the great pipeline for the rest of the year. We've been seeing strong audience and subscriber engagement. We've been pleased with the pricing step-up performance, as I mentioned, and we continue to see lots of running room across the drivers. So I think you can expect us to continue to execute the strategy going forward that you've seen over the last couple of years.
Anthony DiClemente: Great. Thanks a lot, Thomas. Operator, let's take our next question.
Operator: Our next question comes from David Karnovsky from JPMorgan. Please go ahead with your question.
David Karnovsky: Hi. Thank you. Well, maybe just following up on some of the subscriber dynamics just on bundle and multiproduct ARPU. The number was lower quarter-over-quarter. I know there's a lot there under the surface. Maybe you could just unpack a bit the drivers in terms of promo net adds versus kind of the subs you're graduating. And then just a separate topic, Meredith, you talked a bit more recently, I think, about the importance of video on the platform. I don't know if you could dig in a bit on where you're seeing the most engagement and kind of what innovation is still available to you there?
Meredith Kopit Levien: Great. Well, why don't you...
Will Bardeen: Yeah. I can start with that question about the bundle ARPU in the trend there. Let me just say, overall, we're pleased with that year-over-year increase in total digital-only ARPU we delivered in Q1 and the health of its drivers, as I just said in my response to Thomas' question. And I've said this before, is that total digital-only ARPU number that we focus on. We break out those subscriber types to really help illustrate and understand how we're using the bundle in our full product portfolio to capture the entire demand curve. So I don't think there's sort of more to unpack there -- we've obviously provided Q2 guidance on digital subscription revenue growth, which is what we're trying to maximize over the long term, which is, of course, a function of both the growth in our subscriber base and ARPU. And specifically to ARPU, I've mentioned, sort of our confidence in the trajectory due to the value right into the products, the engagement, the pricing performance that we're encouraged by and the running room we see there.
Meredith Kopit Levien: Yeah. I'm happy to take the video. I can't remember if you asked video and audio. I'm happy to talk about both of them and will give me a good point kiosk, which is just the kind of value we're adding to the product. We are making a lot more video and audio, especially reporter video, which is a way for people to get a taste of a story and also see how a reporter got the story. So it both gives people a way into a story that may in and of itself be kind of enough to understand the story or it makes them interested to go and read further, and it also kind of does double duty in showing the work, which we think is really good for building trust. People love it. It's driving a lot of engagement I'd say we are also doing more embedded video and multimedia just as part of the report, so you see that if you are on our app every day. We're also doing more short-form video off platform. So we cut that from our longer work, and it helps us get new audiences engaged in the times, and we continue to expand podcast and podcast video. We launched and I said in my prepared remarks, we launched to show interesting times, which is both a video and an audio show with Ross Scout, we have a culture show coming this quarter, and we are also continuing to expand and improve automated voice. They can listen to more of the report in automated voice and the quality of that voice is getting better. And I would just say all of that is good for engagement, and it's making the report more accessible to people and making more people sort of understand what we do.
Anthony DiClemente: Great. Thanks, David. Operator, let's take our next question, please.
Operator: Our next question comes from Jason Bazinet from Citi. Please go ahead with your question.
Jason Bazinet: Thanks so much. You guys have done incredibly well with your digital subscription strategy. I just had a question in terms of your tactics that you employ when someone comes off of the promo price. What happens then? Like how do you manage it? Because it's a big step up to the full price, which sort of belies the -- catch all the area under the demand curve. But at another level, maybe I missed it, but I just haven't heard you guys talk about how you sort of -- the tactics to graduate someone up to full price from promo price?
Will Bardeen: Yes. Thanks. I'm happy to take that, Jason. I mean I think in broad brush, we are bringing people in on the bundle, in particular on promotional price, as we've said. And we then take in a lot of signal and understand how well they're engaging. Overall, we have strong engagement. But as you can imagine, that engagement can vary depending on the nature of the subscriber. And so over time, what we're doing then is asking people to pay more when we're seeing the strength of that engagement. And so we have both sometimes bringing people at the step-up moment, whether that's 6 months or 12 months to the full price. And we also bring up people sometimes to intermediate prices, and every once in a while, we will decide to let people someone let someone stay on promotion longer as well. So there's a range of pricing, and we're continuing managing that. Underlying that is obviously the what we've talked about here, I just mentioned a couple of times, it was in our scripts, the value of the product that we continue to add value to it and continue to keep that engagement strong, look to keep driving daily habit. And with that, we feel really confident about our ARPU trajectory and the ability to bring people up to higher prices over time.
Meredith Kopit Levien: And I'll just add a bit that underlying all of that is very sophisticated data science that we're getting better and better at deploying and sort of executing around the tech is obviously getting better and better.
Anthony DiClemente: Great. Thanks a lot, Jason. Operator, let's move to our next question.
Operator: Our next question comes from Doug Arthur from Huber Research Partners. Please go ahead with your question.
Doug Arthur: Yes, two questions. Meredith, if you take the athletic digital ad revenues out, it looks like underlying was up 5.5%, if I have that right. Is that about what you expected? And any comment on that mid-single-digit underlying growth in digital?
Meredith Kopit Levien: I'll just say broadly, we feel optimistic about all the drivers in our ad business. We like the performance in the quarter. We like the trajectory we're on. And we like it and across the portfolio, and I'll just we're back to what I said in my prepared remarks about the ad business now really feeling strategically akin to the consumer business where we're in these broad spaces, news and sports and games and recipes and shopping advice of a lot of marketer appeal, a lot of engaged audience in all of those spaces, improving ability to target that audience and add products that we're still in early days of extending across the portfolio. So I would say the results are good. You see the guide, we kind of feel good about all of it.
Doug Arthur: Okay. And just -- yes. The -- I think this is already asked, I'm not sure it was answered, but the single product sequential growth was slightly up. Was that a surprise? Or is that a seasonal thing with gifting around Christmas? Any comment on that?
Will Bardeen: I wouldn't provide any more color than what I've said. In any kind of given quarter, you can see some variations. Overall, what we're really focused on is what I mentioned, adding value to the products focused on that strength of subscriber engagement and then making sure with all of the data science that Meredith mentioned that we're bringing people up to higher prices, we're identifying -- partly by identifying areas of tenured cohorts that we see lots of signs, value the product so much that ask them to pay a bit more over time makes sense. And we can see -- continue to see running room across those drivers.
Operator: Ladies and gentlemen, at this time, I'm showing no additional questions. I'd like to turn the floor back over to Anthony DiClemente for closing comments.
Anthony DiClemente: Great. Well, I just want to say thank you all for joining us once again this quarter, and we'll see you next quarter.
Operator: And with that, we'll conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.